Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the MiX Telematics Fiscal First Quarter 2019 Earnings Results Conference Call. Today's call is being recorder. At this time, I'd like to turn the conference over to Paul Dell, Interim Chief Financial Officer, please go-ahead.
Paul Dell: Good day and welcome to MiX Telematics Earnings results call for the first quarter and fiscal year 2019 which ended on June 30, 2018. Today, we will be discussing results announced by press release issued a few hours ago. I'm Paul Dell, Interim Chief Financial Officer and joining me on the call today is Stefan Joselowitz, who many of you know him Joss. He is President and Chief Executive Officer of MiX Telematics. During the call, we will also make statements relating to our business that may be considered forward-looking pursuant to the safe harbor provision of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 20-F and other filings with the Securities and Exchange Commission available on our website at www.mixtelematics.com under the Investor Relations tab. Furthermore, we will also be referring to certain non-IFRS financial measures. There is a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the Securities and Exchange Commission. With that, let me turn the call over to Joss.
Stefan Joselowitz: Thanks Paul. I would like to thank you all for joining the court today. MiX supported a strong first quarter and I'm very pleased with the team's execution. The quarter was highlighted by subscription revenue growth of more than 18% on a constant currency basis, as well as adjusted EBITDA margins of 27.7%. These represented more than 450 basis points margin improvement compared to the five years comparative period and is the eighth consecutive quarter of year-over-year margin expansion. These strong results are further evidence we are continuing to benefit from a diversified portfolio or premium fee subscriptions. As a result, we remain confident in our ability to maintain the momentum for the balance of 2019 and beyond and achieving our longer-term adjusted EBITDA margin target of 30% plus. Turning to a summary of our first quarter performance. Our subscription revenue of R390 million grew over 18% year-over-year on a constant currency basis and ahead of guidance. This was driven by the ongoing demand from higher ARPU premium fleet customers globally across all verticals. It was also pleasing that all of our region's contributed positively to both our top and bottom line performance. We also added over 15,000 net new subscribers during the quarter, bringing our total base up to 692,000 a year-over-year increase of 11%. We are also driving material ARPU expansion as we benefit from the positive impact of our bundled deals and premium add-on features. This is worth reiterating our ARPU has materially improved over the past decade, driven by a combination of our ability to sell a range of solutions on top of our core application, as well as our focus on branding to our premium fleet customers. Over the past year alone, our ARPU is increased by over 7.5 % in constant currency terms. As a reminder, bundle deals delivered significantly more cash over the average customer lifetime and contribute around $100,000 more in cash compared to an unbundled deal. Over 80% of our new sales are now being completed on a bundle deal basis and looking at our premium fleet portfolio, approximately 30% are now unbundled deals versus around 5% five years ago. The progress we had made with ARPU can clearly be seen in q1, given over 18% year-over-year growth in subscription revenue and 11% growth in subscribers. During the quarter, we secured some notable wins and successes including signing new customers, computing renewals and expanding our footprint with existing clients. At our last earnings call, we announced a win with a very large multinational customer in the cement business, and we are pleased to report that we now had more than 3,000 active subscriptions with this customer. In South Africa, we have won yet another multinational car rental company and have already installed solutions into about a 1,000 vehicles with another 5,000 to follow during the course of the year. Globally, the bus and coach vertical continues to be a strong performer. For example, in Australia and Brazil, we signed up multiple public and private bus companies for contracts totaling close to 1,500 vehicles. In the Middle East, MiX signed a five-year agreement with the United Nations Development Program to provide our services after delivering on a successful proof-of-concept. This agreement provides flexibility to all United Nations agencies to utilize a mix for their requirements. We are now looking to continue our expansion into the humanitarian sector, while signing up agencies that operate multiple fleets in order to realize the safety benefits and cost savings that we have proven to be achievable. And finally, we continue to reach new software features to customers every month, and commenced the rollout of our new generation premium fleet hardware platform, which I touched on earlier this year to customers in the United Kingdom and New Zealand. Unlike many of our competitors, we still design and develop our core hardware platform. This enabled us to control the entire ecosystem and effectively manage the customer experience from end-to-end. Our new premium fleet hardware product, the MiX4000 and 6000 deliver -- deliveries for common code bench, new technologies and features that help to further future proof our business. Given Q1 solid performance, our visibility into strong pipeline of committed orders and continued efficiencies we are driving through the organization. We are reiterating our fiscal 2019 total revenue, subscription revenue and adjusted EBITDA margin guidance on a constant currency basis. Paul will provide more detail in a few minutes, but bear in mind that updated guidance he will provide only reflects changes in foreign exchange rates since our last earnings call. So in summary, our strong first quarter results are further evidence that MiX continues its meaningful acceleration in margins after years of investment. As a result, I continue to believe we are executing on an opportunity to create a large company with a compelling financial profile, driven by double-digit subscription revenue growth in HOS scalability and growing cash flow. With that let me turn it over to Paul to run through the details on the quarter.
Paul Dell: Thanks Joss. Let me review our first quarter fiscal year 2019 performance, and recall that our reporting currency is the South African Rand. For convenience we have translated our results into US dollars, but for the 2019 and 2018 periods, using the June 30, 2018 spot rates. You can find these conversions in our press release. In addition, please note that our results are presented on an IFRS basis unless otherwise noted. In the first quarter, total revenue came at R457 million, of this total subscription revenues were R390, up 16.4% on and as reported basis. On a constant currency basis, subscription revenue growth was18.4% and above our guidance range. The strong performance was driven by the ongoing traction from our premium fleet customers across all geographies and vertical markets. We added 15,100 subscribers in the quarter and ended with 691,000 subscribers, an increase of 10.6% year-over-year. Subscription revenue now represents more than 85% of total revenue, an improvement compared to 83% in the first quarter last year. We again saw more than 80% of our net subscriber additions comprising of bundle contract, and expect our subscription revenue as percentage total revenue to continue to increase. The layering of bundled subscription contracts, combined with ongoing customer adoption of ARPU enhancing add-on such as MiX vision has resulted in a constant currency ARPU increase of over 7.5% when compared to the first quarter of fiscal 2018. Hardware and other revenue was R66 million compared to R70 million in the first quarter of fiscal 2019. Our gross profit margin in the first quarter of fiscal 2019 was 66.9% and consistent with the gross profit margin reported in the first quarter of fiscal 2018. We continue to focus on scaling our business with operating expenses representing 52% of total revenue compared to 57% revenue in the first quarter last year. Recall that our general and administrative costs include research and development costs are not capitalized. For those of you interested to see our historical capitalization and development cost expense, we've provided the table in our earnings press release. To provide investors with additional information regarding our financial results, we disclosed adjusted EBITDA and adjusted EBITDA margin, as well as adjusted earnings for the period, which are non-IFRS measures, so we have provided full reconciliation tables in our press release. First quarter adjusted EBITDA increased 35% to R126 million, or 27.7% % of revenue, compared to R94 million, or 23.1% of revenue last year. This represented a 460 basis point year-over-year improvement in the adjusted EBITDA margin. The continuous improvements in our adjusted EBITDA margin highlights our ability to achieve margin accretion as it scales the business globally by successfully leveraging our return on our historical investment while remaining focused on cost management throughout the business. Not that as expected, our first quarter 2019 adjusted EBITDA margin of 27.7% was lower than margin of 28.7% reported in the fourth quarter of fiscal 2018. When invested hardware revenue and resulted gross profit increase, the reported margin by 1.3%. We remain pleased with the trajectory of our ongoing improvements in adjusted EBITDA margin. Adjusted earnings for the quarter was R49 million, or R0.08 per diluted ordinary shares, which was up from R31 million, or R0.05 per share we posted a year ago. That tax rate used in reporting ordinary earnings per share was elevated due to non-cash deferred tax charges resulting from the effects of foreign exchange rate fluctuation, and adjusted earnings level where we ignore the impact of foreign exchange gains and losses and relates tax consequences. Our effective tax rate was 28.4% compared to 50.8 % in the first quarter of fiscal 2019. From a cash flow perspective. we generated R23 million and net cash from operating activities and invested R38 million capital expenditures, leading to a negative free cash flow of R55 million for the first quarter, an improvement compared with negative free cash flow of R64 million during the same period last year. The use of cash includes investments in in-vehicle of R57 million, driven by the demand for our bundled offering. As a reminder, that this quarter is typically our lowest cash flow quarter due to payment of prior year bonuses. In the current quarter, prior bonus payments were in excess of R50 million. Now let's turn to our financial outlook. In regards to expectations for fiscal 2019, we have increased our guidance in respect of total reported revenues and reported subscription revenue, as the weakening of the Rand primarily against the US dollar had a positive impact on our reporting currency revenue. At the midpoint of our total revenue guidance, we expect fiscal 2019 revenue of R1, 880 million which would represent constant currency growth of 10% consistent with our previous guidance issued official on the 10th of May this year. At the midpoint, we expect subscription revenue to be R1, 635 million which represents constant currency year-over-year growth or 14.25%. This is consistent with our previous guidance with respect to constant currency subscription revenue growth. We remain confident in our ability to achieve this given the first quarter performance, as well as a strong pipeline of firm orders and sales opportunities. At the midpoint of guidance we are now targeting adjusted EBITDA of R5366 million, which represents an adjusted EBITDA margin of 28.5%. Adjusted EBITDA margin guidance is consistent with our previous guidance and at the midpoint are ups approximately 300 basis points compared to last year. This again shows our intention of achieving ongoing margin accretion as we progress toward our long- term adjusted EBITDA target of 30% plus. In regards to adjusted diluted earnings per share for fiscal 2019, we are increasing our expectation to R32.02 at the mid point of the guidance range. This compared to our previous guidance of R30.07 at the point. Our new guidance is based on 587 million diluted ordinary shares and an effective tax rate of between 28% to 31%. As we have discussed previously, our intention is to focus on annual target, as this is how our management is focused and we do not wish to close deals on suboptimal terms in order to achieve quarterly objectives. This is most relevant as it relates to the hardware and other revenue line items in our profit and loss. The area of revenue, where we have the highest level of visibility and predictability is our subscription, which as we have discussed is the largest fastest-growing and highest margin component of our business For the second quarter of 2019, we're targeting subscription revenues in a range of R401 million to R406, which would represent year-over-year growth of 15.1% to 16.6% on a constant currency basis. In summary, Mix has gotten off to a strong start in fiscal 2019. We're very pleased with the subscription revenue growth and improvement in our adjusted EBITDA margins in the first quarter. Looking ahead, we believe that makes us well-positioned to continue the momentum in fiscal 2019 and beyond, given our industry-leading integrated Telematics platform, diverse product portfolio, ongoing traction, key verticals and geographies and our commitment to sustaining profitable growth. I will now hand it back over to Joss for some closing remarks.
Stefan Joselowitz: Thanks Paul. In close, we executed very well during the first quarter. And we'll take this opportunity to extend my thanks to our team for this great start to the 2019 fiscal year. Our progress was highlighted by our ability to grow subscription revenue more than 18% on a constant currency basis, as well as expand our adjusted EBITDA margin to almost 28%. The strong results are further evidence that our strategy is working, and we remain confident in our ability to achieve our long -term adjusted EBITDA margin target of 30% plus. With that we will turn the call over to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question will come from Bhavan Suri with William Blair.
Bhavan Suri: Good morning, guys. Congratulations, Joss, team just really, really clean result there. Just -- it's good to see they are coming through quarter -after- quarter. Yes, I guess I just want to touch first at a high level, obviously, just a strong quarter, Joss, may be this for you or someone else there, but I'm surprised about the sort of maintaining full-year guidance. It just feels like you've given yourself some room but you beat very, very handily, sort of just the thought process and given a strong quarters and such a clean quarter why sort of just kept guidance where it was on a constant currency basis?
Stefan Joselowitz: Bhavan, thank you --thanks for comments and thanks for the question. It's early in the year. We should be feeling good about the year; you're correct. We had got off to a strong start and I guess in my inevitable fashion, I've generally chosen to get a few more data points before we take a different view on the year ahead. So I'm really taking a position where we're not going to get ahead of ourselves right yet. We need to carry on focus on executing our business and but certainly that must read anything into a fact we are already reiterating our full year guidance. And having said that, we're building a great pipeline and I'm feeling good about the year.
Bhavan Suri: Great, so then I guess might just touch you on the business, we go back --you've been sort of a little disappointed I guess I'd say or just not I had not been as happy with the performance in Europe, just wondering sort of that seems to come back. What actions do you take sort of reinvigorate that business and then did that sort of meet your expectations or beat your expectations in the period?
Stefan Joselowitz: Yes. So if these whatever moves you make or not as you know anywhere or not generally overnight fixes. We've been working with our leadership there. We are increasing investment in strategic investment sales and marketing, particularly trying out a few new things in terms of how we distribute or get to our customers maybe in a more efficient manner. And it's early days in some of those tweaks that we've made. Having said, there's early signs that we are making progress and uncertainty for the first quarter the business is running more or less according to plans. So I'm happy with that but it's a four quarter year, and we have to keep on executing. So we'll have to see how it pans out over the balance of the year, but in summary, primary focus on strategic investments mainly around sales and marketing.
Bhavan Suri: Got it, got it .And I want touch on sort of the ARPU piece, obviously, sort of cross selling the product bundling, its Mix Vision, Tabs et cetera excited driving ARPU. As we look out -- I am not -- I don't even care about this fiscal year, but as we look at over the next say 12 -24 months, how do you think of sort of the unit growth and the ARPU growth balance and while still maintaining sort of that subscription guidance you've given us. What do you think ends up being the driver? Is the cross sell of more product into the base or do you think it's a more addition of unit or what that makes might look like?
Stefan Joselowitz: Yes We certainly expect our ARPU on balance to continue for the foreseeable future and certainly the kind of time period you're talking about and beyond the 24 month plus to continue to accrete upwards, we made lots of investments to make this happen, and we're seeing concrete evidence that these investments are now solidly paying off and ARPU will be driven by a combination of ongoing growth in bundled component of our premium portfolio. So we're now at 30% but clearly we've got a huge amount of runway to continue growing that the penetration into that portfolio. And we've got some premium add-ons that are showing good success, and we have an increasing success in selling that not only to new customers but to existing customers well. So that's the other driving factor. Bear in mind on your other portfolio, certainly our asset tracking portfolio other than inflationary increases in the southern African region. We don't expect to see any major growth in ARPU probably because it's really nothing --that product is already being bundled since inception and there's no real add-ons that we sell onto that product. But we are looking at global expansion of that portfolio and we must also bear in mind that it depends on the mix of our sales, our portfolio sales in terms of the impact that will have on our ARPU accretion. So obviously the higher number of Beame sales or Tab sales we had, they are high margin, lower ARPU sales that could slightly mute the growth in our overall ARPU, but on balance I would still expect our ARPU to trend --our blended ARPUs taking everything into account to continue to blend upwards. To trend downward --
Operator: Our next question will come from Brian Peterson with Raymond James.
Brian Peterson: Good morning and congrats on the nice results. So this is I think second or third quarters in a row now with premium fleet customers have been really strong in this quarter. You mentioned that that it was across a lot of different verticals which is positive. So I'm just curious what's changed over the last few quarters that are really improving your results there? And just curious to get an update on how things trended in the Americas versus your expectations? 
Stefan Joselowitz: Thanks, Brian. In terms of what's changed the one significant change I guess the most important change is that we're seeing a lot of activity in the energy sector, which was going back sort of six or seven quarters and there was no activity even worse there was sort of negative, contraction negative activity from our perspective. And it was either vertical that were carrying us. So now we're in a position where we see all of our key verticals performing well. And we're also seeing some success in some new verticals where its early days, and we really haven't got the kind of traction and I want to brag about yet, but we're seeing some new verticals starting to show some contribution. And that's exciting but what we're seeing right now is we're seeing existing verticals for us where we have seen good new customer growth, and on top of it we're seeing sort of the activity from existing customers that are expanding their fleets in many instances and combined with that they are opting for operating HOS add-ons in certain instances. So it's a combination that's really started to come together nicely for us now. 
Brian Peterson: And, Joss, just given the premium fleet momentum in a shift to bundle deals, I'm just curious how would you characterize your revenue visibility into fiscal year 2019 results versus maybe prior years given those dynamics?
Stefan Joselowitz: It's --we shouldn't have -- we have more confidence in our visibility I guess than we did as I mentioned when we were struggling with energy sector. Let's call it 18 months ago and beyond it was that --we had a sort of five quarter rough patch and I will still stress that we still go through that patch, so it was just not the growth we were hoping or praying for. So we had visibility. We signed a lot of solid deals, many of which or some of which we've announced in various earnings calls. And we do-- it's not always easy to predict what the cadence or run rate is going to be on some of these deals. And a lot of that is in the customers hands. I wish it was more in our hands because we would be driving it in some instance with a lot order than it's actually happening. So signing the deal is really only the first step in getting a large new customer on board, and getting access to vehicles to do installations, to get that subscriber on board is primarily in the customers hands. So some run a lot better than others. I mentioned the one deal that we announced last quarter. We've already put 3,000 only in this quarter that we've just reported on so that pace is fantastic. And it gives us a bit more confidence in our ability to predict that particular customer. Then there's other big deals where we signed which have run much slower than anticipated or not anticipated but hopeful, and we're working with the customers to sharing our frustrations. Then in some instances they have the same frustration. They want to see it moving cost because they recognize the value and the benefit that'll bring to their business side. So it's managing a lot of moving parts I guess, but yes we base our guidance, our forward guidance on our best judgment any point in time. We've given a view into this coming quarter, and we work very hard to obviously meet and hopefully beat the position we've we put forward to the market.
Operator: We will now hear from Mike Walkley with Canaccord Genuity.
Mike Walkley: Great, thank you, Joss. And congrats again on the solid results. My question is for -- with your installed base of customers I think you shared 30% now on bundled deals. How do you look at maybe conserving that other part of the base over time? Are there certain regions of the world where you see maybe a technology risk or 2G or 3G technologies are ending in a few years and you need to upgrade to new hardware and does this create an opportunity to up your base to more bundled deals to help drive ARPU overtime.
Stefan Joselowitz: Yes. Thank you. It's a great question. And absolutely this should be part of the opportunity to expand that penetration into the base, typically happens after renewal time or getting close to renewal time where engage with customers about what the opportunities are, and it's not so much the network issues that drive that opportunity. What's driving it more is the opportunity for customers to take on some of our other options like MiX Vision or some of the other ARPU enhancing add-ons that creates an opportunity to have that discussion. And by the way I don't-- I'm equally happy to take cash deal. So I have a particular fondness for cash and always happy to do a non bundled deal, and the customers really have the choice but we are definitely see where a reason -- a trend from large customers towards bundled deals even though doing the mathematics economically a non -bundled deal would make more sense for them. So that I suppose it simplifies the sales process. It takes it really off their balance sheet and puts it into OpEx kind of the situation. So there is a particular fondness for bundled deals right now. And I think that trend will naturally continue. So we expect that percentage to grow. And I can certainly see a world in the future. I don't believe it'll be this year or next year. I can see a world in the future where we eliminate the hardware line altogether and only have the one offering to our customers, but at the stage we have both.
Mike Walkley: Great, thanks. And just Joss you highlighted on the call your differentiated hardware can you can make it-- make it yourself and customize for customers? As your business continues to scale how do you see cost coming down maybe in hardware to potentially expand overall contribution margins going forward? And I think you highlight some new hardware products also. Are those helping that mix of margins over time? Thank you.
Stefan Joselowitz: I appreciate it. Thank you. We've just launched now --we relatively rolling out we started the roll out of our next-gen platform effectively, the next 6000 and 4000 which is our new premium fleet platform, and we're excited about it. We put a lot of inherent design, functionality and capability that we believe could help to future growth of our business. We constantly revisit this build or buy decision point and when we started practice, starting development on this new platform sometime that probably about 18 months ago. We revisited again at that stage and decided to take ran at this latest platform. And we believe it will stand us in good stead for the next four or five years certainly. And at that point we'll take another view and whether we going to develop another platform or whether at that stage we believe that there'll be a sufficient or there'll be will be available options that will be good enough or sufficient for our needs from a third-party supplier. And also bear in mind, we need to -- it's also a strategic decision when a third party supplier poses strategic risk to us on that. So that becomes part of the strategic process. But right now we're very happy with the fact that we're doing our own design that does give us more flexibility. It has enabled us to leverage diversified revenue streams, which I particularly like about our business, it de-risk the business and we believe that it supports our margin plans for the foreseeable future by doing it ourselves. So we're happy with where we are.
Operator: Our next question will come from David Gerhardt with First Analysis. 
David Gerhardt: Good morning. Thank you for taking my questions. My first question I wanted to ask since you talked a bit about the take rates of bundled deals and the penetration in your base. If you could kind of give us some visibility into the attach rates of your add-on solutions and an aggregate and the level of penetration in your existing base? If you can kind of give us a sense of where it is and run away that you have in front of the company.
Stefan Joselowitz: Good morning and thank you for the question, David, and your attention. Yes, I don't think we're certainly in a position where we haven't -- we haven't announced specific attachment rights. What I won't -- what I think -- what I can safely say is that our attachment rights or in terms of our current base on some of these major ARPU drivers are relatively small and off the top of my head, I don't think any of them are about 20 % right now. So I think that would be a safe statement that in any one of our add-on opportunities we have at least 80% of our base. And in some of those opportunities -- it will be a runway larger than that of our existing base that still present marketing opportunities to upgrade some of those installations. So the runway from our perspective is pretty large indeed.
David Gerhardt: Okay and then premium fleet, you've been doing well selling to premium fleet, just wondering if you could give us an update on the mix of subscriber adds in the quarter? I think last quarter it was running ahead of the 50/50 between premium fleet and lower value subscribers, just wondering if you could break that out for us.
Stefan Joselowitz: It's in this quarter a nicely balanced -- it was nicely balanced quarters. So we did get on claim contributions really from all three of our portfolios. Our premium fleet portfolio; our [Indiscernible] and of course asset tracking portfolio. So premium fleet made up a good-sized percentage of that not quite 50%, but from, I am talking out from a subscriber add-on, remember, it's much more other way from a subscription revenue perspective that's what why we particularly love that portfolio, one premium fleet subscriber is like 10 asset tracking subscribers from a revenue perspective. I will stress at the margins we enjoy and even from our lowest ARPU asset tracking portfolio are extremely attractive. So we're very happy to add them on but we get an overweight revenue contribution obviously from the premium fleet side. And it made up a sizable chunk of the subscribers that we added and was marginally ahead of plan for the quarter which I was pleased about. 
David Gerhardt: And then last question from me I mean in quarters, talking about the pipeline you talked about it being as robust as you've seen in years, and the pipeline and being pregnant with growth, just curious if you could just give us a qualitative overview of what the pipeline looks like. Is it still similar to what you saw in past quarter? Has it expanded? Just some thoughts and around pipeline. 
Stefan Joselowitz: Thank you. It's definitely expanded. So we're and particularly we're seeing -- continuing to see and win more of these global contracts, which really play to our strengths. So that's the exciting part of it. The complicated part to some of these contracts is not that -- not as smooth rollout as we would ideally like to see. So and I mentioned before that it depends on I guess the cultural style of the organization, how dictatorial they are from a head office perspective et cetera. So some of them are very easy rollouts. And I mentioned the one we've just seen where they seems to be from head office downwards every clear understanding that there's a commitment to rolling up. And others we find huge contracts with potentially tens of millions -- sorry tens of thousands of subscribers that are a potential and although we've signed the deal, we still giving them as this call it super qualified leads. We select to do a lot of work regionally to get regional management behind the deal that the head office put in place. So that's an ongoing challenge now, but not that anything particularly new other than we're seeing more of them, and that certainly aiding our pipeline. What we're also seeing as you referenced -- now again I'm not sure whether it's famous or infamous comment about pregnant with growth but we certainly delivering on that. So we're seeing large customers that they are expanding their fleet and for very little sales effort or cost, we're getting we're getting subscriber graph and subscription revenue benefit out of it. And that's very exciting. So I'm very pleased with the trajectory that's pull and we are pulling after a real head of steam on mining existing customers which are great.
Operator: Thank you. And with no additional questions, I'd like to turn the floor back over to Joss for any additional closing remarks.